Operator: Good afternoon, ladies and gentlemen. My name is Didi, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the Kimball International Third Quarter Fiscal 2022 Earnings Conference Call. As with prior conference calls, today's call, May 3, 2022, will be recorded and may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from the forward-looking statements. Risk factors that may influence the outcome of forward-looking statements can be seen in the Kimball International Form 10-K. During today's call, the presenters will be making references to an earnings slide deck presentation that is available on the Investor Relations section of Kimball International's website. On today's call are Kristie Juster, Chief Executive Officer of Kimball International; and T.J. Wolfe, Executive Vice President and Chief Financial Officer. I would now like to turn today's call over to Kristie Juster. Ms. Juster, you may begin.
Kristine Juster: Good afternoon, everyone, and thank you for joining today's call. I am pleased to report that Kimball International's fiscal third quarter results marked a significant positive step change in our financial performance, and we see this momentum carrying into the fourth quarter, supporting our outlook for accelerated growth in fiscal 2023. This quarter's 30% sales increase demonstrated the relevance of our product portfolio in the actively forming commercial spaces that support both physically and digitally present workforces and allow for the needed flexibility for today and the ever-evolving trends of tomorrow. It particularly underlines the strength of our positioning in the Workplace and Health end markets, where we believe our 41% sales increase indicates that Kimball International continues to gain share, demand in these markets were strong across each vertical led by commercial, education and eBusiness and aligned with our expectations of returning to learning and return to hybrid workplaces. Sales in our Hospitality market were similar to prior year levels, including shipments which were delayed from the second quarter. While this is our fourth consecutive quarter of double-digit growth in order rates, it is the first quarter we've been able to fully convert the strong demand into significant revenue growth and meaningful profitability. Price increases we implemented in October of last year and March of this year, mitigated part of the supply chain, labor and inflationary pressures, and we will see increased benefits in the fourth quarter and into fiscal 2023. Additionally, we succeeded in managing through supply chain disruptions and labor issues, allowing us to reduce lead times and constraint shipments in prior quarters. These actions have resulted in Kimball International reporting industry-leading gross margins and underpin our confidence in the company's future performance. Taking a closer look at our key end markets, Workplace revenue increased 52% in the third quarter, representing growth across all verticals, and orders were up 36%. These strong results reflect important strategic differences, namely the alignment of our product portfolio with today's new forming Workplace and our geographic footprint, which is geared towards smaller metropolitan areas that have experienced significant population and employment growth in recent years. We have also realized a broad-based recovery of our day-to-day business as a proof point of our continued consistency with Workplace orders up 29%, led by corporate and education end markets up 38% and 47%, respectively. Ancillary products accounted for 86% of our trailing 12-month sales and provide the collaboration, flexibility and residential design that employers are looking for as they return to hybrid or fully in-person settings and evaluate the most effective ways to manage their Workplace footprint. Kimball International's vast collection of products offer designs that create an amenity-rich workplace that helps engage, recruit and retain the best talents. Innovative and award-winning products such as Eklund and EverySpace continue to resonate with our customers due to their custom configuration and flexibility. At Poppin, with increased inventory levels on hand, sales bounced back significantly in the third quarter, up 94% year-on-year and order rates climbed 64%, positioning us to end the year with an $80 million run rate. The improved inventory position and our effective lead generation model have increased our new customer acquisition to 28% of total Poppin sales. Poppin's in-stock ready-to-ship business model is particularly appealing to companies looking to efficiently expand their current workplace footprints or quickly furnish a new satellite office in another market. This design is fresh and clever and their simplified ordering process supports speed and reliability. Poppin's Pod business continues to grow, representing over 20% of the overall B2B mix, and it is now Poppin's second largest product category. Our showroom expansion strategy is well underway as we open additional showrooms in Austin and Atlanta for a total of 8 and are planning to open 3 more in fiscal 2023. Additionally, Poppin Pro, which leverages the expertise of both Poppin and KII continues to exceed our expectations at over 15% of total sales. Moving to our Health market, third quarter revenues increased 8% and orders were up 2% ahead of fiscal 2021 levels. As we shared last quarter, we detected a slight pause in this market due to the recent COVID variants. However, we continue to be very confident that these issues are short-term in nature. In fact, sales volumes in many of our territories are up significantly in the quarter and year-to-date, led by the Midwest, Pacific Northwest and Southwest markets. We are addressing emerging trends in healthcare for community, spaces, patient rooms, exam areas and treatment areas that are designed to create better, more tranquil experiences for patients and families, while maintaining an efficient workplace for caregivers. We are achieving this by leveraging the power of our combined brand portfolio, with our fastest-growing territories fully adopting our multi-branded go-to-market strategy. As we have previously stated, the Hospitality market remains soft with business and international travel remaining well below pre-pandemic levels. We are managing this part of our business very closely, continuing to prioritize higher-margin customized products. We just returned from the Hospitality Design Show in Las Vegas, where the energy activity and focus point towards on industry recovery that is slated to begin in 2023, and we are well positioned to benefit in its upstream. We are also pleased with our strides on the ESG front. You may have read our announcement that most of our shareowners have earned the well health safety rating through the International WELL Building Institute. We've also launched our sustainability data portal and green standards program, a platform for sustainable redistribution of furniture, fixtures and equipment during times of workplace change. Kimball International has also been named one of America's Most Trustworthy Companies in 2022 by Newsweek. We are very pleased with these accomplishments and continue to be dedicated to building a more sustainable future in making a difference in our communities. In summary, the third quarter represented a period of very strong performance for Kimball International, which clearly puts us on track to achieve our fiscal 2022 guidance. Now I'd like to turn the call over to our CFO, T.J. Wolfe, for a financial review, a discussion of our operating progress and fourth quarter guidance. T.J.?
Timothy Wolfe: Thank you, Kristie, and good afternoon, everyone. I'm pleased to share more details on our strong financial performance in the third quarter of fiscal 2022 and our forward growth expectations as we believe our business has reached a financial inflection point. Net sales in the third quarter of fiscal 2022 were up 30% to $180.9 million compared to the prior year's quarter, reflecting strong demand in our Workplace and Health end markets that accounted for approximately 81% of total revenue. In addition, Poppin contributed $17.3 million to sales. The sales growth across our portfolio was driven by both volume increases and the pricing actions we have implemented over the past 12 months. Taking a deeper look into our end markets, sales in Workplace increased 52%, with our commercial, education and government verticals achieving double-digit year-over-year sales increases and also benefited from Poppin generating 94% revenue growth year-over-year. Health experienced an 8% growth in net sales and due to lack of business travel activity in the Hospitality end market remains relatively soft, leading to a 2% revenue decline in the third quarter. We were very pleased with our 180 basis point expansion in gross margin to 30.5% year-over-year despite ongoing industry-wide supply chain inflation and labor challenges. Although, we have seen some improvement in supply chain and material availability, inflationary pressures persist in materials pricing, labor availability and logistics network. To mitigate these cost increases, we have implemented timely pricing and cost-saving measures that will enable us to offset the inflationary pressures across the supply chain that I just mentioned. Our disciplined cost controls and operational efficiency helped improve adjusted selling and administrative expenses as a percentage of revenue with adjusted S&A declining to 26.6% of revenue compared to 30.8% in the year ago quarter. At the same time, we continue to make strategic investments to further expand sales growth, such as the opening of a new Poppin showroom that Kristie mentioned earlier and a new product development and introductions. Strong sales growth and expanded margins drove substantial earnings growth in the third quarter. Net income was $6.3 million or $0.17 per diluted share compared to a net loss of $4.5 million or $0.12 loss per diluted share in the prior year quarter. Adjusted net income was $7.6 million or $0.21 per diluted share, up from a net loss of $1.0 million or $0.03 loss per diluted share in the third quarter of fiscal 2021. Adjusted EBITDA grew to $11.5 million versus $1.9 million in the year ago quarter. We experienced another quarter of robust order activity supporting our strong conviction in Kimball International's future sales growth. Workplace orders were 36% higher compared to the year ago quarter, driven by double-digit growth in the commercial and education verticals and the contribution from Poppin where orders increased 64% year-over-year. Health orders improved 2% year-over-year, and orders in the Hospitality end market represented a 43% increase over a significantly depressed market last year and one that will continue to underperform pre-pandemic levels until the full-scale return of business and international travel, which as Kristie mentioned, we expect to begin in 2023. Our total backlog at quarter end was $178.5 million compared to $129.6 million in the third quarter of fiscal 2021. Approximately 2/3 of our backlog reflects the November surcharge, which turned into a permanent price increase in March, with the remainder, including the previously announced price increases. Our backlog declined sequentially, which underlines our ability to ship orders faster, improving revenue and price realization as well as gross margins. Now moving to the balance sheet and cash flow, we ended the quarter with $78 million in short-term liquidity, which includes cash and cash equivalents plus the unused amount of our credit facility. Our capital expenditures were $4 million and we returned $3 million of capital to shareholders in the form of dividends. We also realized a $4.5 million gain from the sale of one of our warehouses. Capital expenditures, net of disposals are on track to total approximately $22 million, which is a slight decrease from our prior guidance. Year-to-date, we achieved cost savings of $8.1 million and putting us firmly on track to achieve our $10 million guidance. We continue to reinvest these savings into high-growth initiatives such as marketing and promotion and in further building out our sales force. Having opened additional Poppin showrooms in Atlanta, Austin and Miami this fiscal year, and given the demand trends for the Poppin brand, we are planning on opening a similar number of additional Poppin showrooms in fiscal 2023. Looking now at the fourth quarter, we forecast revenue of $180 million to $185 million, representing a year-over-year increase of 25% at the midpoint, with sequential gross margin improvement of 100 to 200 basis points at approximately 31.5% to 32.5%. We expect fourth quarter S&A expenses will range from $52 million to $54 million, reflecting investments in people and marketing as well as promotional spend as we strive to match S&A investments with realized revenues. With that, I will turn the call back to Kristie for closing remarks.
Kristine Juster: Thank you, T.J. As our discussion today outlined, we believe we have reached an inflection point at the end of the third quarter, enabling us to report significant market share gain and profit growth. We have good visibility to our fourth quarter results and expect the positive demand trends that have driven the last 4 quarters of double-digit order growth to continue. Our focused approach to Workplace and Health end markets, our continued belief and commitment to ancillary products in secondary geographies and our confidence in scaling and leveraging the Poppin acquisition gives us a pathway to robust revenue and profit growth in fiscal 2023. And I want to end the call with my appreciation and respect for our customers, our suppliers and our employees and all that we have accomplished and proven together. Operator, I'd like to open the call for questions.
Operator:  First question comes from Greg Burns with Sidoti & Company.
Greg Burns: Just wanted to focus first on the healthcare vertical, COVID is not news anymore with kind of -- I think, move past it as a countries. Is there any reason you think that you're still not seeing a stronger inflection in demand in the healthcare market. And I guess we'll just start there.
Kristine Juster: Sure, Greg, I'll answer that. It's Kristie. So one of the things that we will say is that the healthcare business is actually back to pre-pandemic levels, so the healthcare business did not decline as much as the base business did, and when we look at where the market is growing, we still see significant growth in the secondary markets, especially where we see the crossover of success in our Workplace business with success in our Health business. So we're very pleased with the secondary markets. We do see the metropolitan markets lagging. And so that's the piece of business that actually has to come back in order to see the year-over-year increase that we expect in the future. When you look at the -- I will just say, when you look at the long-term indicators of that market, we are very confident that, that market will come back. We've said that over and over again with the growth in VA, the amount of investment that's going into that market. And so we feel very confident in how we're building our capabilities there and our expertise, and we are seeing the funnel kind of repopulating after the pause last quarter.
Greg Burns: Okay. Okay. And then in terms of Poppin, it looks like product availability improved significantly in the quarter, but now we're seeing China lock itself down again and poor congestion and other things that maybe might cause an issue for that business going forward. So can you just talk about what you're seeing there? Any risk to product availability for Poppin?
Timothy Wolfe: Yes. Sure, Greg. It's T.J. So I think one of the things we talked about last quarter was that the slowdown in Poppins revenue was directly tied to the low inventory levels. And so we were able to increase those significantly from, I would say, around $12 million at the end of last quarter, up to around $24 million at the end of this quarter. So we've more than doubled the on-hand inventory with Poppin. And when you look at where kind of Poppins sourcing occurs and again, the situation with the lockdowns in China is fluid, and it does change from region to region. But what we've seen so far is we haven't been impacted as of yet, more of our sourcing does occur in the south of China, sourcing in Taiwan as well. And so we haven't been impacted today. That was certainly something we need to keep an eye on and make sure that we're maintaining the inventory levels. But we are trying to buy ahead, ship ahead and keep more on hand in anticipation of disruptions.
Greg Burns: Okay. And I might have missed it, but I think you said a number in terms of where Poppin would exit the year in terms of kind of run rate revenue. Can you just repeat that?
Timothy Wolfe: Sure, Greg. So we were 17.3% for the quarter. And then for the run rate, we would say, we're back above the $80 million run rates by Q4 next quarter, so north of $20 million next quarter.
Greg Burns: Okay. Perfect. All right. And then in terms of the gross margin improvements you're seeing, what's your -- I don't know, how forward-looking you could be, but your expectations looking past the fourth quarter as we go into fiscal '23, should we expect to see further sequential gains? What's your view on price realization and any other initiatives that you have going on that might help improve the gross margin?
Timothy Wolfe: Sure. So as we said in our guidance, we would see expansion happening next quarter, and that's really the reflection of our pricing actions, finally working their way through the backlog. And as I mentioned, our backlog decreased this quarter for the first time in 5 quarters. So we're getting on top of that and getting shipments out the door that do have that in pricing. So we believe we've really called the bottom in margin now. We'll be able to expand next quarter. And then we do see additional expansion into fiscal year '23. Now I think the point we'd make is it probably won't be a straight line. It won't be perfectly linear throughout the year, and it will maybe have kind of different magnitudes of expansion each quarter, and we're going to give guidance to that when we finish the fiscal year. But we do see further gross margin expansion in fiscal year '23 beyond what we've guided for the fourth quarter.
Operator: Your next question comes from Rudy Yang with Berenberg.
Rudy Yang: So I guess firstly, congrats on the strong set of results. And just curious if you could just talk a little bit more about some of the biggest changes this quarter over some of the previous ones. I know you mentioned you've kind of reached an inflection point as of the end of this quarter. But again, what are some of the biggest changes that kind of drove this? And was there an increase in demand momentum or more so and just improvements in being able to move your backlog better than previous quarters?
Timothy Wolfe: Sure, Rudy, it's T.J. I'll start off and then kind of maybe talk a little bit about the operational improvements we saw then I'll let Kristie talk maybe about the market forming and the demand. I think operationally, one of the things that we did see is that we were able to improve our production levels. And so the supply chain is still constrained, with some tangible improvements that we saw are that we were able to add to our workforce, our manufacturing workforce increasing at approximately 5% from where we were at the prior quarter. We also have a higher level of safety stock, some materials on hand. We still see shortages and outages, but we're able to mitigate those by extracting freight. And so we've increased our safety stocks. And the net effect of that is, if you look at our product lead times versus standard, so our standard lead time is what we hope to deliver to a customer. And at the end of last quarter, approximately 45% of our products were on a standard lead time. We've improved that to 51% of the products on a standard lead time. So a 6-point improvement over the quarter, still a long way to go to get back to all of our products being at standard, but that is one of the improvements we saw. So all of that allowed us to convert more of our orders and backlog into shipments and that's really what drove a good deal of the sequential and year-over-year revenue improvement. And can you let Kristie talk about the demand formation.
Kristine Juster: Sure. One of the things we see is the Poppin success in the quarter, and we're very pleased with the changes that we've seen, as T.J. said, Poppin responded very quickly to the increased inventory position. But even if you look at the strategic kind of actions that we've taken with that business, we've been very consistent about opening of our showrooms. We're very pleased with Austin and how that started Poppin Pro, which we told you last time was about 10% of the total mix is up to 15% of the mix. We talked to you about the new category of Pods, which is now 20% of the business. So we're seeing incremental new pieces of business that are coming into the kind of the core Poppin business that we have very much enjoyed, and we're seeing that business rebound on a nice rate. So we're feeling very confident around Poppin. And then I will just add that certainly, our work with price, getting price into the market has certainly played a role in giving us confidence in both the revenue and the gross margin line in Q3 and Q4.
Rudy Yang: Great. And then in terms of the backlog composition, so I think you still mentioned a portion that still represents orders under old pricing. Just given what you've been seeing with improvements in lead times, I guess, is there any expectation of when the entire backlog should be reflecting the full effect of your price increases issued?
Timothy Wolfe: Yes, sure, Rudy. So 2 factors there, I think one is that you've got some orders in the backlog that were obviously placed before the price increases occurred. And so that's one element. There's also an element that certain of our contracts, and it's maybe 15% of our contracts have certain requirements where they would only accept a certain number or magnitude of price increase in a given period. And so we have to work through those as well. But what I would say is, by the end of next quarter, absent those anomalies, we would be at full realization in the backlog of all the pricing actions we've taken.
Rudy Yang: Great. And then just one more from me, so I think the high end of your sales guidance for Q4 puts you slightly below the higher end of your previous full year sales guidance, which I think was plus 20%. Just given, I guess, how strong Q3 results were, is there any reason that your expectations for Q4 wouldn't be higher kind of reaching the higher end of your full year sales guidance range?
Timothy Wolfe: Sure, Rudy. The one thing I'd point you to is, if we look at the mix between business segment. So we had a rather strong Q3 in Hospitality, and that really was the result of some Q2 shipments that got delayed into Q3. And so that resulted in Hospitality being 19% of our mix in Q3. We see Hospitality being a smaller percentage of our mix in Q4, normalizing closer to the 15% range. And so we expect to see strong improvement in Poppin and Workplace and our Health end markets, but that's going to be offset by return to a more normalized level in Hospitality. And again, the Hospitality market, we've got tremendous belief in what that can deliver in the longer run. However, we do see that ramp, as we said, being delayed into 2023.
Operator: And I'm not showing any further questions in the queue. I will turn the call back to Kristie Juster for her final remarks.
Kristine Juster: Well, thank you, everyone, for joining us this evening. We certainly look forward to sharing our progress in Q4. And as T.J. mentioned, we'll certainly be coming forward with our perspective on 2023 when we speak to you on the next call. So thank you, and have a nice evening.
Operator: And with that, ladies and gentlemen, thank you for participating in today's program, and you may now disconnect.